Operator: Hello, thank you for standing by and welcome to the Science 37 Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Caroline Paul, Investor Relations. Please go ahead.
Caroline Paul: Thank you and thank you all for participating in today’s call. Joining me are David Coman, Chief Executive Officer; and Mike Zaranek, Chief Financial Officer. Earlier today, Science 37 released financial results for the quarter ended June 30, 2022. A copy of the press release is available on the company’s website. Before we begin, I would like to remind you that management will make statements during this call that include forward-looking statements within the meaning of federal securities laws, which are made pursuant to the Safe Harbor provisions of Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon our current estimates and various assumptions and involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. We encourage you to review our filings made with the Securities and Exchange Commission for a discussion of these risk factors, including our quarterly report on Form 10-Q for the quarter ended June 30, 2022 which was filed earlier today. You are cautioned not to place undue reliance on these forward-looking statements which we speak only as of today and the company disclaims any obligation to update such statements for new information. We believe that certain non-GAAP metrics are useful in evaluating our operational performance. We use these non-GAAP measures to evaluate our ongoing operations and for internal planning and forecasting purposes. Information about non-GAAP financial measures referenced, including a reconciliation of those measures to the most comparable GAAP measures can be found in our SEC filings and the earnings materials available on the Investor Relations portion of our website at investors.science37.com. I would now like to turn the call over to David Coman.
David Coman: Thanks, Caroline. Good morning, everyone and thank you for joining us. During the second quarter, we made meaningful progress than our strategic priorities positioning Science 37 for long-term profitability, extending our market leadership position through investments in our operating system, and enhancing our commercial efforts for top line growth. With intentional focus on our path to profitability, we were able to achieve significantly significant gains quarter-over-quarter. Second quarter, revenues remained strong at $19.3 million and cost containment enabled us to grow adjusted gross margins sequentially from 17% in the first quarter to more than 30% in the second quarter, while also reducing SG&A excluding stock-based compensation by almost 10%. With this level of focus, we remain committed to our plan, as noted in our first quarter earnings call, to continue to drive toward profitability by the end of 2024 with our existing cash on hand. While our highest priority has been to pave our path to profitability, we have and will continue to invest in our operating system in order to extend our market leadership position. As you will recall, we made significant investments to enable the next generation technology platform release in the second quarter. And we are very pleased with the market receptivity. Qualitatively, customer feedback has been extraordinarily positive, both in terms of the platform’s flexibility and the breadth of capability to deliver cost across all decentralized components such as eConsent, eCOA, eSource, Adverse Events tracking, medical record retrieval, concomitant medicine tracking and telemedicine all in one platform. This is in addition to unifying the workflow to enable a patient, mobile nurse, remote coordinator and telemedicine investigator to triangulate care all from the comfort of the patient’s living room with consistency across each patient and each visit along the vertical. Quantitatively, our sales pipeline activity for new tech-only opportunities in the second quarter was 5x greater than that in the first quarter levels. In addition, our new platform release has already generated its first award with a top 20 pharma company that underwent an exhaustive DCT tech RFP, where we displaced a competitor to become its new provider of choice. As we continue to invest in the platform to drive market adoption, we are also investing in automating our market leading workflow capability to continue to reduce human interaction and subjectivity, which will reduce cost and improve compliance and quality. Beyond the core technology platform, we continue to invest in our patient recruitment capabilities and are excited about the upcoming launch of our new CRM system to streamline the patient enrollment process, which we have coupled with investments in our call center technology to ensure that every patient who expresses interest in participating has a seamless experience from contact to consent in order to efficiently maximize study enrollment. These enhancements will build upon our current patient recruitment success rate, where we are happy to report we are delivering well above our 100% on-time targets across the blended mix of active studies. This, of course, can be juxtaposed with traditional clinical trial timelines, which are reportedly laid more than 80% of the time. Our final area of focus, enhancing our commercial efforts, continues to produce both volume and larger deal sizes across large pharma, midsize pharma and biotech, who are looking to save time, to reduce burn, and to accelerate time to commercialization. As of the end of the second quarter and as we sit here today, our sales pipeline continues to set new highs. In addition to the pipeline growth for our new technology offering, which I talked about a moment ago, our Metasite pipeline is up 70% quarter-over-quarter, much of which is the result of our Metasite Lite and Metasite Rescue product offerings that we announced in the second quarter. The composition of our pipeline continues to lean toward deals that are greater than $10 million, many of which are from repeat customers, which we believe is testament to the maturation of the DCT market and our ability to effectively enhance speed and productivity for existing customers. For perspective, the dollar volume of $10 million plus opportunities in our pipeline is up nearly 400% year-over-year. And these larger opportunities now represent almost 50% of our qualified sales pipeline on a dollar basis. While we are excited to see the rapid growth in our sales pipeline, we are also seeing longer sales cycles particularly on larger studies which is reflected in our net bookings of $25.4 million for the second quarter. The elongated sales cycles are directly correlated to the size of the opportunities in our pipeline, given the criticality of the studies we are supporting and the number of people who are often involved in the decision-making process. While others in the industry are reporting longer decision-making timelines amongst sponsors, it’s unclear how much of that maybe impacting us. Regardless, we remain optimistic about our ability to convert our growing pipeline into strong bookings over the long run. With that, I will now turn the call over to Mike Zaranek, our Chief Financial Officer to provide additional detail regarding our financial performance.
Mike Zaranek: Thank you, David and hello everyone. I plan to take us through the second quarter results for the three months ended June 30, 2022 and then our outlook for the full year 2022. We are pleased to report revenues for the quarter of $19.3 million, which represents a 54% increase from the $12.5 million in the same period of the prior year. As David noted, we finished the quarter with net bookings of $25.4 million compared to $44.1 million in the second quarter of 2021. It’s important to note that while our sales pipeline is growing in overall size and composition, with nearly 50% of that pipeline comprised of deals larger than $10 million, these larger opportunities take significantly longer to contract, which has negatively impacted short-term booking conversions. As expected, our cancellation rate in the quarter reverted back close to our historical average versus what we had experienced in the first quarter with the two large COVID cancellations, which we discussed during our last earnings call. Our second quarter cancellation rate was under 12%, which was roughly in line with what we saw in 2021 and lower than what we see across the industry, which we believe to be 15% to 20%. Now turning to gross profit, our adjusted gross profit for the second quarter was $5.9 million compared to $5.4 million in the same period for the prior year. Adjusted gross margin was 30.6% compared to 43.2% for the same period of the prior year. As you may recall, our 30.6% adjusted gross margin for the second quarter was up significantly compared to the 17.2% in the first quarter of this year, as two of our largest studies based on our old pricing model came to conclusion, and we were effectively able to absorb some of the excess capacity we have in the first quarter. In addition to the significant gains in adjusted gross margin, we were able to take significant cost out of the business by shedding our reliance on third-party resources, improving processes and deploying automation to reduce our need for excess hiring. As a result, selling, general and administrative expenses inclusive of $5.7 million of stock-based compensation were $28.2 million in the second quarter, a decrease from $30.2 million in the first quarter of 2022. Adjusted EBITDA, which we calculate by adding back depreciation, amortization, taxes, interest, transaction expenses, and stock-based compensation and adjusting for the impact of the change in fair value of the earn-out liability, with a loss of $16.5 million in the quarter, representing a 17% sequential improvement from the first quarter loss of $19.8 million. You will note our GAAP net loss of $5.8 million reflects the gain of $20.9 million related to the change in fair value of the earn-out liability, which was part of the original transaction with the SPAC. As a reminder upon the stock price meeting certain thresholds within the 36-month period of the transaction closing, the equity holders of the former Science 37 entity would receive additional shares. And under U.S. GAAP, we are required to reevaluate the potential value of that arrangement on a quarterly basis. With respect to cash, we ended the quarter with approximately $148.3 million of cash and cash equivalents. This would imply a cash burn of $31 million in the quarter, down from $35 million cash burn in the first quarter. However, if you account for a couple of large receivables, totaling approximately $3.3 million from two customers who are not biotechs or small pharma, which were due the last week of June and came in, in the first week of July as well as a number of one-time items, including the payout of accrued vacation hours as we have switched to a flexible time-off policy, our normalized quarterly cash burn would have been approximately $24 million in the second quarter. Now, let’s turn to the outlook for the remainder of 2022. As a result of the longer booking conversion timelines associated with the larger opportunities we are seeing in our pipeline, we are adjusting our full year 2022 projected revenues to be in the range of $76 million to $86 million, representing a 28% to 44% year-over-year growth. We expect third quarter gross margins to be similar to our second quarter performance, with additional gross margin expansion in the fourth quarter, close to 40%. We continue to expect adjusted EBITDA for the full year 2022 to be between negative $65 million to negative $69 million. Looking beyond 2022, as David noted, we expect to be both quarterly EBITDA breakeven and cash neutral by the end of 2024. And based on our current operating plan, we expect to be able to reach cash flow positivity with our existing cash on hand. As of June 30, 2022, we had approximately 116.3 million shares outstanding as we currently anticipate having an adjusted net loss in the upcoming quarter and year, any converted options would be deemed anti-dilutive and therefore, on a GAAP basis, we expect the basic and diluted share counts to be the same. In summary, we remain optimistic about our continued growth trajectory, with a qualified sales pipeline at a record level and larger $10 million plus opportunities representing nearly half of that pipeline, which is up nearly 400% year-over-year. We remain committed to delivering long-term profitability and are pleased with our recent strides in that direction, particularly in regards to sequential gross margin expansion, SG&A reduction and reduced cash burn. At this point, I would like to turn back the call over to David for closing comments.
David Coman: Thank you, Mike. We are very pleased with both the continued strong execution by our team and progress achieved in our strategic priorities as we continue to pioneer decentralizing the clinical trial industry. We remain focused on building on this positive momentum with a keen eye toward our objective of long-term profitability and maximizing value for our shareholders. With that, I will now turn it over to the operator to open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Charles Rhyee with Cowen. You may proceed.
Charles Rhyee: Yes, thanks for taking the question, guys. David, Mike, just wanted to talk a little bit about the shift in really focusing on larger deals. Obviously, that’s a good sign longer term, can you talk a little bit about why the shift now and sort of about – sort of resources internally to be able to go both after larger deals and continue to go after smaller deals at the same time? I just want to ask about that. And then secondly, the timelines what would you expect, because I would imagine over time, as you know, greater than $10 million deals become more of the norm for you and you start converting, what is your expectations for how long the sales cycle will be relative to what we have been seeing historically?
David Coman: Yes, so thanks for the question, Charles. Thanks for joining us today too. Regarding the larger deals, it’s really always been what we have been pushing for as a company is to continue to be – to provide more utility to sponsors, continue to gain a larger trials, and more pivotal trials. And that’s exactly what’s happening as a result. So, I think that’s really a good reflection of the positivity of the model in terms of what we have been able to achieve for our customers and I think the acceptance of DCT in general. So I think that [Technical Difficulty] in terms of the pipeline building what we think about for the future. In terms of timelines, for the closing of these trials, I think it’s a little bit to be determined. So definitely longer we have, some of the smaller deals can close like in 30 days, but larger deals can be 120 or even more. And so many of these larger opportunities we are talking about, we have been working through all the details on them for quite some time. As you might expect, when you are talking about a larger opportunity or a more pivotal trial, there is more people who are involved in the decision-making process, because of the criticality of the trial itself. And so I think we are seeing that as a reflection.
Mike Zaranek: If I could add one more thing in terms of those larger opportunities, we are really encouraged by the fact that a number of those larger opportunities are coming from existing customers. And so it’s customers that we have demonstrated our ability to deliver for in the past, they are coming back for more and larger opportunities and that’s supplemented by new customers as well in that cohort of $10 million plus opportunities.
Charles Rhyee: Appreciate that. And just to follow-up on that, would you expect over time is part of the extended timeline for these deals in part because this is still relatively novel for some of these companies, particularly for as you get these bigger trials? Would you expect these timelines to perhaps shorten in the future as clients become more comfortable and confident in the model?
David Coman: I think it’s a little bit too early to tell. I think that we would hope to see that. But I think time will tell a little bit more on that. And I think as you – as we get more on the repeat buyers as well, I think that you expect to get some of those transactions to come in much more quickly as well. So over time, I guess I would expect it, but time will tell a little bit.
Charles Rhyee: Great. And Mike, just one follow-up on cash, is the $24 million sort of – if we adjust for some items is that what you would expect for third – is that a good run-rate for the rest of the year?
Mike Zaranek: I think our expectation is that we will see sequential improvements in that cash burn as we move through the rest of the year.
Charles Rhyee: Great. Thanks a lot. Appreciate it.
David Coman: Thanks, Charles.
Operator: Thank you. [Operator Instructions] Our next question comes from Justin Lin with William Blair. You may proceed.
Justin Lin: Hi, good morning. I guess a question on guidance, what’s driving the $10 million reduction in your revenue guidance at the midpoint? Does that have something to do with certain legacy projects being pulled forward or cancelled which might help explain the implied – sort of higher implied margins with the unchanged EBITDA guide or is that truly just a matter of better cost controls?
Mike Zaranek: You are talking about revenue guidance?
Justin Lin: Right.
Mike Zaranek: Yes. I mean, I think we ended the quarter at $25 million to little bit lower than what we had expected. I think if you take a look at our backlog, I think it’s very strong. But what we want to do is to de-risk the variability a little bit on our guidance that we are providing.
Mike Zaranek: And then just add to that. [Technical Difficulty] I think on in terms of the guidance that we are providing now, David said, on the de-risk side we have substantially all of the low end in the backlog as of the end of the second quarter.
Justin Lin: Okay. That’s helpful. I guess just a follow-up question on bookings obviously you talked about these larger opportunities and any notable shift, one way or another towards a certain offering? I am referring to sort of Tech Plus, Metasite DCT here, and any color you can give regarding how these are trending would be helpful.
David Coman: Yes. Well, I mean as I had noted, we are super excited about the new technology platform and the rapid pipeline expansion as a result of that. And so I think that, that’s one area, I think the other area is on the heels of the announcement for our Metasite Light and Metasite Rescue solutions. And I think you have got a lot of strong growth in the Metasite area as well. DCT continues to grow as well. But I think it’s probably safe to say that tech and Metasite are growing a little bit faster than DCT for DCT only.
Justin Lin: Got it. Thank you very much.
David Coman: No problem. Thanks for the question.
Operator: Thank you. One moment for questions. Our next question comes from Matt Hewitt with Craig-Hallum. You may proceed.
Matt Hewitt: Good morning and thank you for taking the questions. Maybe one follow-up on the sales strategy shift. As you look at the opportunities today, is it something that was kind of a market-driven shift where you were seeing some changes in the market? And that’s what prompted you to make the change now, or was it a function of kind of as you are talking to your existing customers and seeing what’s in their pipelines, it just became apparent that you needed to kind of put yourself in a position to win those awards?
David Coman: Yes. I think that the shift happened a while ago, and we have been very intentional about our desire to work larger opportunities to be a more critical part of the trials that our sponsors are running. And so, our focus has really been on expanding our utility, I think it’s a natural progression for us from being sometimes a more of a quick fix, or proof-of-concept into a mature clinical research organization that has the ability to deliver a lot more on behalf of our customers.
Matt Hewitt: Okay. And then maybe shifting gears that you have got partnerships with some pretty big CROs like PPD, what are you seeing in terms of business coming from those relationships?
David Coman: Yes. We – the partnerships, I think we have been public with PPD and Syneos. And we are like clinical trials and cynic. And I think that they offer a nice opportunity in terms of additional pipeline for us. I think that maybe even more importantly, I think that we offer a lot of utility to them, in terms of having the ability to extend their offering to think outside of just the traditional site base network to add on top of virtual site to their portfolio. In addition, to tech-only solution that they might be able to use as well in order to be able to execute some of the point solutions that they are trying to deliver in the marketplace. So, continue to be excited about those partnerships. And they are important part of our portfolio. And we continue to extend our relationships with other CROs as well and more to come on that in the future.
Matt Hewitt: Great. Thank you.
David Coman: Thank you, Matt. Really appreciate the question.
Operator: [Operator Instructions] Our next question comes from Frank Takkinen with Lake Street. You may proceed.
Frank Takkinen: Hey. Thanks for taking my questions. Wanted to just try one more on the guidance and make sure I understand the moving pieces here at play and the midpoint guidance came down about $10 million. It seem like this quarter was than lying, obviously, there is a large backlog, I think over $180 million right now. Just trying to triangulate really what drove the guide down for the second half, it sounds like a lot of the bookings commentary is more likely to be impactful to 2023. But obviously, we saw that 2022 guide come down. So, just trying to triangulate exactly what’s going on with the guidance revision?
David Coman: I will start if you want to add on, but we came in – the bookings were a little bit disappointing for the quarter at $25 million, frankly. And so couple that with the pipeline that we currently have, with the larger $10 million plus opportunities sitting there and the length of those decisions that are coming in. What we wanted to do is to issue guidance that has a low end that we have a ton of confidence in trying to be risky for everybody a little bit. And I think it’s a safe range for us to play in as a result.
Mike Zaranek: Yes. I would echo that. And I would say that from the encouraging standpoint, I still see very strong demand for those offerings that we provide, as evidenced by the record level of pipe, larger opportunities. But yes, absolutely, second quarter bookings impacted some of that conversion to revenue in the second half of this year. And then to David’s point, with some of these longer decision making timelines that impact the ability to convert revenue here in the second half of the year as well.
Frank Takkinen: Okay. That’s really helpful. And then maybe on bookings more specifically, can you just kind of share your thoughts around the lumpiness factor? Obviously, we got the wrong end of the sword this time. But I have a sense with some of these larger contracts, you could have bookings, significant bookings outperformance as well, when some of these bigger projects cross the goal. And so, maybe just kind of walk through both sides of the lumpiness factor with some of these bigger customers.
David Coman: I think that’s just hit too. I mean over time, do you stack up more and more of these opportunities in the pipeline, and you will close more and deliver higher overall bookings. And so that’s exactly the thesis, frankly, hit right on it. And so we are going to continue to go down this pathway. And I think over the long-term, not only do we provide greater utility to our sponsor customers, but we also deliver more in terms of bookings and ultimately, shareholder value.
Frank Takkinen: Okay. And then maybe just one last one, Mike, you touched on gross margins trending towards the 40% level for the last quarter of this year, is that a reasonable run rate thinking about gross margins on a go forward basis, or should we expect that to jump around with different seasonality factors, etcetera?
Mike Zaranek: As I said in the prepared remarks, we would expect third quarter gross margin – adjusted gross margins to be roughly in line with the second quarter than with the expansion and into the fourth quarter to approximate nearly in the 40% level. On a go forward basis, I don’t think we are issuing official guidance. But we have made changes to our pricing strategy at the end of 2020. And then we updated that, and again, beginning of this year to our minor front. But what I can say is that, as we see the projects go out the door, we are having high levels of fidelity to our minimum margin thresholds of what goes out the door.
David Coman: Yes. So, I think building on that the aim here is for us to continue on that upward trajectory from a gross margin perspective. Correct.
Frank Takkinen: Got it. Okay, that’s helpful. I will stop there. Thanks for taking my questions.
Mike Zaranek: Alright. Frank, thanks so much for joining. Thanks for the question.
Operator: Thank you and I am not showing any further questions at this time. I would now like to turn the call back over to David Coman for any further remarks.
David Coman: I would just like to say thanks everybody for participating and we look forward to future conversations. Have a great day.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.